Operator: Good evening. My name is Carrie, and I will be your conference operator today. At this time, I would like to welcome everyone to the Altus Group's Third Quarter 2024 Financial Results Conference Call and webcast. [Operator Instructions]. Thank you. Camilla, you may begin your conference.
Camilla Bartosiewicz: Thank you, Carrie. Good afternoon, everyone, and welcome to the conference call and webcast discussing Altus Group's third quarter results for the period ended September 30, 2024. Our disclosure materials, notably the press release, MD&A and financial statements as well as the slides accompanying our prepared remarks are all available on our website and as required, have been filed to SEDAR+ after market close this afternoon. I'm joined today by our CEO, Jim Hannon; and our CFO, Pawan Chhabra Some of our remarks on this call and in our disclosure may contain forward-looking information that is based on certain assumptions and therefore, subject to risks and uncertainties that could cause actual results to differ materially from those projected. Please refer to our forward-looking information disclaimer in today's materials. Please be reminded that Altus Group uses certain non-GAAP financial measures, ratios, total segment measures, capital management measures and supplementary and other financial measures as defined in National Instrument 52-112. We believe that these measures may assist investors in assessing an investment in our shares as they provide additional insight into our performance. We use or caution that they are not defined performance measures and do not have any standardized meaning under IFRS and may differ from similar computations as reported by other entities, and accordingly, may not be comparable to financial measures as reported by those entities and accordingly may not be comparable to financial measures as reported by those entities. These measures should not be considered in isolation or a substitute for financial measures prepared in accordance with IFRS. An explanation of these measures is detailed in today's IR materials. I would also like to point out that unless otherwise specified, all percentage and basis point growth rates we refer to on this call today will be on a constant currency basis over the same period in 2023. Additionally, in Q3 2024, the results from property tax have been classified as discontinued operations. Accordingly, all amounts, except for free cash flow, net cash related to operating activities and funded debt-to-EBITDA ratio represent results from continuing operations. We have also restated certain historical numbers on the comparison to exclude property tax. Okay, over to you, Pawan.
Pawan Chhabra: Great. Thanks, Camilla, and thank you, everyone, for joining us today. Recapping our Q3 results, revenue was moderately up, driven by growth at Analytics, which accounted for 79% of our consolidated revenue base. In Q3, we recorded $2 million in restructuring costs globally across the business. Profit from continuing operations was negative $2.9 million. This includes the finance costs associated with our bank debt, the amortization of our acquisitions and onetime costs related to restructuring. Adjusted EBITDA was up 23.5%, driving a 300 basis point improvement in margin. Cash generation, which reflects both continuing and discontinued operations was down year-over-year. Net cash related to operating activities was down 49% in the quarter and free cash flow was down 53%. For context, you might recall that Q3 last year was a quarter when we saw significant improvements in our backlog of accounts receivables that have built up during our ERP transition in the first half of FY 2023. On a year-to-date basis, net cash related to operating activities was up 106.5% and free cash flow was up 154.6%. The strength in cash generation was fueled by continued strong adjusted EBITDA growth and improved working capital processes. This resulted in a significantly higher conversion of adjusted EBITDA to free cash flow over last year. Turning to the Analytics business segment. We continue to deliver both top line growth and margin expansion. Revenue growth was driven by our ongoing transition to cloud subscriptions, new sales, a higher number of assets on our valuation management solutions platform and contribution from our Forbury acquisitions. The double-digit improvement in adjusted EBITDA reflects higher revenues, operating efficiencies and our ongoing cost optimization efforts. Year-to-date, both revenue and adjusted EBITDA are up by approximately $14 million. Recurring revenue is a key metric for our performance. It comprises a low churn revenue base made up of solutions that are embedded in our customers' most critical processes. We continue to focus our go-to-market efforts and investments to maintain consistent recurring revenue growth. 94% of our analytics revenues were recurring in Q3 and recurring revenue makes up 74% of our consolidated revenue base from a continuing operations perspective. At $95.4 million, recurring revenue was up 7%. The Q4 macro environment is tracking the same as Q3, and as macro conditions improve, we expect recurring revenue growth to gradually ramp. Earlier today, we held a webinar going over the NCREIF ODCE data, which encouragingly showed that open-ended funds returns turned positive in Q3 for the first time in 2 years. All sectors, except office saw a gain, supported by improving cash flows and more stable valuations. Our margins continue to expand, up by 560 basis points in the quarter and 320 basis points year-to-date. We remain committed to our target 400 to 500 basis points of annual margin improvement this year, which factors in for a seasonally stronger Q4. We expect margin improvement will be driven by revenue growth and lower expenses from the continued build-out of our global service center in India as well as the full year benefit of the restructuring activities. As you might recall, our medium-term target is to achieve 35% margins for fiscal 2026. Turning to Appraisals and Development Advisory. Revenue continues to face headwinds as the business segment has some exposure to reduced transaction volumes and higher interest rates, resulting in fewer appraisals and new project starts. While we navigate the challenging macro conditions, our focus has been on profitability, where we achieved a 4.7% improvement in adjusted EBITDA. We're encouraged by this year's rate cuts in Canada, but it takes time for that to flow through the industry. So we expect it will be more of a gradual steady recovery through next year. Alongside our ongoing restructuring efforts, we took additional steps this quarter to optimize our Canadian appraisals business by consolidating resources. This included withdrawing from certain non-core markets and services as well as exiting low-margin engagements. We believe these adjustments will enhance our ability to serve our Canadian clients more effectively and allow us to concentrate investments on higher priority areas that are more valuable to them. With that, I would like to point out that we modified our business outlook for this segment, now expecting a high single-digit decline for revenue and mid-single-digit decline for adjusted EBITDA for fiscal 2024. Finally, I'll recap with our balance sheet. We finished the quarter with a cash position of $39.6 million and with $306.1 million in bank debt. The funded debt-to-EBITDA leverage ratio as defined by our credit agreement, which still factors in EBITDA for both continuing and discontinued operations was 2.07 times, well below our maximum capacity of 4.5 times. Our total liquidity stands at $283.5 million. Additionally, the planned divestiture of property tax business will significantly enhance our financial flexibility with approximately $600 million in estimated net proceeds. It will enable us to invest both organically and inorganically, return capital to shareholders and pay down debt to target levels. With that, I'll turn it over to Jim.
Jim Hannon: Thanks, Pawan. Thanks everyone, for listening to our call today. In Q3, the Altus team has once again demonstrated resilience and innovation. We've been growing our analytics recurring revenue despite transaction volumes remaining under pressure. Our teams have delivered consistent growth, margin expansion and new product innovations that will continue to drive value for our clients. In September, we held our Altus Connect Conference, where we hosted clients discussing the most pressing topics in our industry. At the conference, we introduced ARGUS Intelligence, which includes new capabilities that expand ARGUS use cases into performance management. I'll say more on that in a few moments. Over the last several years, we've been heavily engaged with our clients to understand their requirements. The overwhelmingly positive feedback regarding the new product launch validates the strategic direction and importance of our road map. Now let's discuss new bookings, a metric that reflects new and incremental business. While bookings can be an indicator of sales activity and customer sentiment, the book-to-bill time has changed significantly over the last few years with the change in economic conditions. As it is difficult to precisely model timing of revenue associated with some components of the bookings metric, we may choose to phase out this metric as an external reporting item in fiscal 2025 and replace it with a more predictive measure. That said, we're pleased with the 29.3% improvement in recurring new bookings year-on-year. ARGUS software bookings have been consistent and modestly improving each quarter of 2024. VMS had a very strong bookings quarter in Q3 with several large deals fueling the growth. Turning to our Cloud Adoption operating metric. We continue to steadily transition legacy clients from on premise software to ARGUS Cloud. We ended the quarter with 79% of our AE users contracted on the cloud. This is very close to where we expected to end the full year, so we're pleased with this progress as of Q3. Now I'd like to shift to ARGUS Intelligence and expand on my earlier comments. ARGUS Intelligence was built to drive CRE asset and portfolio performance and was informed by our extensive voice of the customer work. Consider it our next-gen version of ARGUS. It is our new flagship product. ARGUS Intelligence builds on the valuation modeling capabilities of ARGUS with new functionality and a modern interface. With ARGUS Intelligence, clients not only have access to ARGUS Enterprise, but benefit from their ARGUS data being structured under an Altus ID. Clients also gain access to asset manager functionality, which allows them to analyze, compare and stress test the performance of their assets. ARGUS Intelligence enables users to easily compare modeling scenarios through simple graphic visualizations of their data. In terms of use case examples, clients can now compare original acquisition models to current valuations and gain insight into the drivers of property performance, or when comparing valuations against prior period, clients can quickly and precisely determine the impact from variables such as shifts in lease terms, changes in market rents, changes in sale price or vacancy assumptions as a few examples. To put this in perspective, we're significantly simplifying what today are very cumbersome analytical tasks. ARGUS Intelligence addresses the pain point of unstructured and disjointed data with our Altus ID entity resolution. We overlay that connected data with advanced analytics to draw actionable insights. Those are now core capabilities embedded with ARGUS Enterprise. As contracts renew, clients will transition to ARGUS Intelligence. Beginning in Q1 2025, all new ARGUS sales will shift from ARGUS Enterprise to ARGUS Intelligence. In addition to the new core capabilities, we're introducing add-on functionality, Portfolio Manager available now and Benchmark Manager for the Q1 2025 expected release date. Portfolio Manager expands the asset manager capabilities at the portfolio level. If you have a portfolio of multifamily, industrial and retail assets, with portfolio manager, you can, for example, easily identify how each asset class has impacted portfolio performance. By creating dynamic collections of properties grouped by, say, property managers, you could track and measure the relative performance of those managers, quickly identifying best practices as well as areas for improvement. With Benchmark Manager, similar to analysis we performed for some of our largest VMS clients today, clients will be able to benchmark portfolios against the relevant ARGUS cohort and deep dive into attribution analysis. For example, portfolio manager will get insight into performance versus benchmark due to segment allocation, cash flow generation or income effect, geographical mix, occupancy, tenant incentives or OpEx. Going back to client requirements, our clients specifically asked us to help them with core data management and analysis that will help them drive higher performance and better manage risk. ARGUS Intelligence enables faster, better decision-making. With the launch of our new products, we're transitioning to asset-based pricing, similar to the pricing structure we employ in VMS. Upon renewal, most investor clients will see a moderate price increase to reflect the significant increase in core capabilities of the product. Along with enhanced functionality, this structure also encourages and enables clients to use ARGUS Intelligence much more widely across the organization without driving incremental per user pricing. This should drive improved workflow, collaboration and data integrity throughout our clients' processes. Portfolio Manager and Benchmark Manager will be optional add-ons with an additional cost per asset. As a final note regarding our product portfolio, we continue to integrate Forbury into our platform with bidirectional compatibility with ARGUS. Clients are excited about the Excel-like interface with Forbury. We believe this functionality will also expand our addressable market. As I wrap up and we prepare to close out the year, I would just like to thank our teams for a very productive year. Financially, despite tough market conditions, we're sustaining Analytics recurring revenue growth and margin expansion and driving higher free cash flow. Operationally, we're ramping up our global service center in India and building out our sales organization and go-to-market plans under the leadership of our new Chief Revenue Officer, Dan Hurley. Dan and the team will drive growth, margins, sales productivity and process improvements with the changes they are implementing for 2025. Technologically, we bolstered the Altus Intelligence platform with new analytics capabilities that will drive value for clients and make our teams more efficient. A heavy lift this year was connecting our ARGUS data sets under a common Altus ID, enabling advanced analytics to extract new insights. We continue to simplify our portfolio, focusing on high-quality asset and fund intelligence solutions. In addition to our previously announced property tax divestiture, we refocused our appraisal services on our highest value opportunities, and we've entered into an agreement to divest Fairways Guaranty, a noncore product we inherited through the finance acquisition. That agreement is to sell Fairways Guarantee for approximately $12.1 million. We remain committed to our current share buyback program, having deployed approximately $11 million towards share repurchases in Q3, and we hope to materially increase that after the tax transaction closes, having earmarked $250 million for buybacks. And finally, we continue restructuring actions and realigning our investments across the P&L towards our target operating model. As reflected in our FY 2026 targets for the pro forma new Altus, we're positioning the business to drive high single-digit consolidated revenue growth, expanded consolidated margins to 24% to 26% and increased adjusted EBITDA to free cash flow conversion to between 65% and 70%. We've transformed Altus over the past couple of years, and we have more work to do. We've demonstrated our focus. We've simplified operations, and we've updated our infrastructure. We modernized our product architecture, and we're positioned very well for what we expect to be steadily improving market environment over the next few years. Okay, Carrie, let's open the lineup for questions at this point.
Operator: [Operator Instructions] Your first question will come from Yuri Lynk with Canaccord Genuity.
Yuri Lynk: Hi, good evening everyone.
Jim Hannon: Hey Yuri
Yuri Lynk: Nice bookings number. I thought we'd start with that since it's got so much attention over the last little while. Can you just kind of break down the driver of the 30% in recurring between VMS and software bookings? And just as a backdrop, maybe touch on how transaction volumes trended in the quarter as well.
Jim Hannon: Yes. Let me just break down all your pieces of that question. So thanks for the acknowledgment on that, Yuri. And as I said in various quarters, bookings are lumpy. As you know, you very well know, when bookings are way up, we're not overly exuberant. When bookings are way down, we think that the market overreacts to bookings just based on that kind of that book-to-bill conversion that I was talking about earlier. So it's a great number. I don't want to downplay it overly, but bookings come in lumpy throughout the quarter. So Q3 from last year might be a Q4 of this year. But we'll take it. In the breakdown, as I said, the AE bookings have been wildly consistent throughout the year with improvement throughout the year, not massive in the current environment, but growing each quarter-on-quarter. So we're very happy with that performance. The outsized growth in Q3 is due to several very high-quality VMS transactions where clients have purchased portfolios that are going from one type of fund structure into a fund structure that requires VMS. So this book-to-bill should be much faster than what we've seen over the last couple of years. So feeling really good about that. But a couple of those large transactions, again, can move the needle just based on the timing of prior year. But again, we'll be introducing new metrics that we review as a management team all the time that we get out of the new systems that we put in place that will just it will be much more highly predictive for you guys modeling out the business.
Yuri Lynk: Okay. That's helpful.
Jim Hannon: As far as transaction volumes in the quarter, for Q3, U.S. transaction volume was down 9.5%, again, based on our data. Year-to-date that puts the transaction volumes down about 10%. Canada is still trending a bit worse than that. But our research team for Canada would be putting out a webinar next week. So we'll be updating on Canada specifically.
Yuri Lynk: Okay. Helpful guys, I’m going to hop there. Thanks very much.
Jim Hannon: Thanks, Yuri.
Operator: Your next question will come from Daniel Chan with TD Cowen.
Daniel Chan: Hi, your press release calls out a higher number of VMS assets contributing to the recurring revenue growth. Also the bookings sound like it's up from strength in that VMS business. Do you think we've turned the corner here and expect the VMS business to continue accelerating? You mentioned some of the Odyssey data points there, but anything you can point to in the data points you see in your cloud and whether it's model data or telemetry data that support your view?
Jim Hannon: Yes, Dan, it's a good question. The fact that assets are up, some of that's working through the bookings backlog from prior years. So you are seeing that waterfall even though it's at a slower rate. Are we at a turning point? It's great to see the Odyssey returns turning positive. So that's a good sign. There's the reason we focus when we announced the tax deal where we focused on FY 2026 was two things. One, we think although we're in a better interest rate environment, which got even better today in the U.S. that it's going to take time for that to work through the system and land in transactions. So as Pawan said, steady growth through 2025 in 2026, that's where we see analytics going to double-digit growth. As we break down our growth algorithm, the VMS clients of our existing clients with transactions picking up. And I think our clients will accrue assets at a disproportionately good rate to the market that will be helpful. But 2025 as most of our public clients have been out saying it's going in the right direction. It's steady growth but Q3, Q4, we feel like it's a bit more of the same. We expect our ARGUS, as we said, has been getting a bit better every single quarter. We expect that, especially with the new product portfolio that we've launched. But the VMS business, yes, it feels like it's turning positive.
Daniel Chan: That's great to hear. You also mentioned that you purchased $11 million of shares in the quarter. I think that this is the first quarter you started to do that. Maybe this is a question for Pawan, but how do you think about repurchasing shares versus your other uses of capital? Thank you.
Pawan Chhabra: Yes. Look, as we mentioned, uses of capital are both to invest organically and inorganically in the business to accelerate our growth. We also look at it from returning value back to shareholders. So that's also in the form of the dividends that we give as well as the share buybacks. We're not cash constrained. So we have a lot of flexibility in regards to our capital allocation framework. Dan, as we've mentioned, we have a pretty rigorous DCF model that we've built out for the business. We have a good indicator of where we think our intrinsic value is. And so we'll continue to look at the share buybacks from a perspective of opportunistically buying. It's not necessarily buying at any price, but we're going to look at it from a strategic perspective of when we feel we're within the range of where the trading is happening below intrinsic value. But it's a core component of how we're thinking about returning capital back to shareholders. Going forward, as Jim mentioned, we talked about a $250 million buyback program over the next couple of years, and that's something that we're committed to. But again, we're being smart about how we buy back shares.
Daniel Chan: Got it. Thank you.
Operator: Your next question will come from Stephen MacLeod with BMO Capital Markets.
Stephen MacLeod: Great, thank you. Good evening guys. Just wanted to circle around on the bookings. Understanding that it is lumpy. And I guess, would that comment kind of account for what we saw in terms of year-over-year growth for recurring bookings over the last few quarters, like Q1 was up nicely, Q2 down, Q3 up. I mean, is that just the inherent lumpiness that we're seeing in those numbers?
Jim Hannon: That's it, Steve. Exactly. And it's why Kevin and I don't get too excited in one direction or the other. We're looking for steady improvement, but that book-to-bill, we still have a good backlog to work through from VMS. Those clients have committed that when they deploy those assets, those assets are coming to us for valuation services. So as they're identifying like so cap rates are getting to a point where assets are attractive. Our clients are the smartest investors in the world, and they're going to time this appropriately, looking at their cost of capital and what they expect on future rates and the impact on their purchasing capabilities. Our recurring bookings have been fairly consistent when we look at the average over the last four quarters. And we know where our de minimis level of recurring bookings need to be to hit our models and to hit our 2026 numbers that we've put out there, and we're in good shape. That said I would love to be higher just because of the lumpiness, and I think investors overreact in both directions.
Stephen MacLeod: Yes. I see that. Okay. And then just you've talked about new bookings running at that like $20 million level. This quarter was a bit higher than that. And based on some of your commentary around like clients beginning to be more active in the marketplace. I know transactions were down, but you talked about some outsized growth in Q3. Like would you expect that new bookings baseline of $20 million to start to tick higher here? Or is that something that it's maybe too premature to say that?
Jim Hannon: Yes. So we know Q4 has a seasonality effect to it that works in our favor. So yes, we expect the bookings to tick higher. Internally, we use more traditional SaaS metrics. I'm not ready to get into declaring them on the call for external reporting. But you can just think cross-sell, upsell, pricing, churn, and we see those early indicators going in the right direction.
Stephen MacLeod: Okay. That's great. And then maybe just...
Jim Hannon: Shifting to in the future versus bookings just to get away from the lumpiness.
Stephen MacLeod: Okay, thank you. And then maybe just finally, just on the appraisals and development. Business, why the big step down in guidance? I mean, the quarter was a little bit weaker than we were expecting, but not much. Do you expect things to really sort of get incrementally worse as you turn into Q4?
Jim Hannon: Go ahead.
Pawan Chhabra: No. Again, I mean, part of it, Stephen, I mean, you're talking about law of small numbers in regards to appraisals and development advisory. So it doesn't take much of a swing for that number to materially change. And again, as we mentioned in our prepared remarks, we're narrowing the focus to go for more profitable growth. And so that there's a transition in regards to kind of that evolution. And so I would say those are kind of the two big factors is small movements make a change from a growth perspective. And again, we're retooling these businesses to go for more profitability.
Stephen MacLeod: Okay, that makes sense. Okay, thanks guys, appreciate it.
Jim Hannon: Thank you.
Operator: Your next question will come from Paul Treiber with RBC Capital Markets.
Paul Treiber: Yes thanks so much and good afternoon. Just a question on the shift in AE sales to ARGUS Intelligence. I know it's not apples-to-apples, but do you have an estimate of the implied change in pricing?
Jim Hannon: Yes. Well, thanks for the question, Paul. The change in pricing for equity investors, you think it's low teens, but it's not everyone all at once, it's as their contracts come up for renewal or if they want to jump to asset manager right now, which many of them do, so they're renewing ahead of their contracts. And several of them have seen that on the asset-based pricing, they really like the concept of not being constrained with users and being able to roll it out across a lot of their processes, as I talked about, because it improves their data integrity as they move from underwriting to budgeting and planning to acquisition analysis or disposals. So, yes, it’s but for the one, two have moved, it’s low teens [ph].
Paul Treiber: And unless there's a wave of early renewals, what do you think well, in terms of like the average duration of contracts in your installed base at AE contracts, like what percent are contractually up for renewals in 2025?
Jim Hannon: So the average tenure of the contracts is under three years. So you're kind of looking at more than 30% are up.
Paul Treiber: Okay. Makes sense. Shifting gears on the cost side. Just looking at the unallocated corporate costs, how are you thinking about shared services with the Property Tax business? And then do you see an opportunity to take down those allocated corporate costs as your business becomes more simplified going forward?
Pawan Chhabra: Yes, that's absolutely right, Paul. As we mentioned, there will be -- there are some elements that are in corporate that support the property tax business, and we're already in progress to identify how we can continue to make sure that we exit with no stranded costs associated with the property tax sale. In addition to that, and as Jim had mentioned, we're building our plans based on a target operating model, which is anchored on best practices on benchmarking the right expense ratio to revenue ratios across the various corporate functions. And that exercise in and of itself is going to drive greater efficiencies for us over time. And so it is a big focus area for us, and we're on it. And so that hopefully gets to your question, Paul, in regards to how we're thinking about it, both from the divestiture of the property tax business and the work that we're doing. Look, there's still more work for us to do here, but wheels a function as we think about 2025 planning and then obviously, in regard to the 2026 guidance that we've put out there.
Paul Treiber: Alright, thanks for taking the questions.
Operator: Your next question will come from Aaron Kyle [ph] with CIBC.
Unidentified Analyst: Hi, it's Aaron Kyle on for Scott Fletcher here. Maybe just a quick question on the guidance. The Analytics guidance for 2024, 6% to 9% growth, that's unchanged. Can you just remind us if that guidance range factors in any expected market recovery in Q4? And are you expecting any significant recovery in CRE transactions for 2025?
Jim Hannon: Yes, Aaron, it's a good question. [Indiscernible] was very deliberate in his comment that Q3 and Q4 market conditions, we expect to stay the same. When we gave that range, there was a lot of optimism in the market that things would improve faster. So we're comfortable that Q4 will look similar to the rest of the year as far as growth rates around recurring.
Unidentified Analyst: Okay. That's helpful. And then maybe just one more for me, and apologies if you touched on this already. But with the Finance Active divestiture in the quarter, can you just walk through the rationale there and whether there's any other similar smaller assets or portions of assets that you're looking to sell off?
Pawan Chhabra: Yes. So as Jim mentioned, the divestiture of the Fairways Guarantees was a noncore asset to finance active. It provided a suite to assist corporate treasurers to manage guarantees that they issue. And 90% of that business sat out of the debt and real estate segment. So it was really truly a noncore component for us. And it was a small revenue contributor as well for the unit. And so we obviously took advantage of the opportunity to be able to put it up for sale, which, again, as you think about from our perspective, it gives us additional cash to be able to invest in our organic and inorganic opportunities and think about how do we continue to fuel our R&D efforts. So it was really kind of a no-brainer decision for us in terms of the divestiture.
Jim Hannon: Yes. It was a capital allocation decision for us because that business was hitting a point where it was going to require R&D next year, and it didn't have the same growth or returns as other opportunities that we have.
Unidentified Analyst: Okay, thank you. I’ll hop offline.
Jim Hannon: Thank you.
Operator: Your next question will come from Richard Tse with National Bank Financial.
Richard Tse: Yes, thank you. Sort of along the lines of that last question, and I think I may have asked this last quarter, but you've sort of had a bit of time. I'm just wondering, is appraisals and development considered strategic still? Would that eventually or potentially be considered noncore at one point?
Jim Hannon: Yes. Both of those businesses give us very good insight into our clients and how they're thinking about investing across their portfolio and there's a lot of pre-revenue activity going on in both of those businesses. So our teams are out there collectively appraisals and debt advisory together, helping clients evaluate things such as what are projected rents, what are their build costs, what are projected build costs? Can they get the return on investment that they'd be looking for? Should they do a refit out of a property, should they tear down and rebuild. So from helping clients figure out their own portfolio allocations, these are very insightful businesses for us. That said, the business has historically chased top line, and we have better visibility into client profitability. So as we do a stratification of client profitability, we can focus in on the key clients that are also analytics clients or should be analytics clients and help them build out their portfolios and then evaluate impacts on valuation that we can model all the way through ARGUS Intelligence. Those clients also are very significant data clients of ours. So it is strategic from a holistic perspective.
Richard Tse: Okay. Great. My other question has to do with the 1/3 of the base that's up for renewal next year. Can you share to the extent that you can, the groundwork that you sort of laid with those customers to absorb those price increases that are coming?
Jim Hannon: Sure. Our teams, they start working renewals quarters in advance of the renewal. Many of those clients were beta clients on the new products. The other thing is from a perspective of, of ARGUS Enterprise as a percentage of their overall expenses, it's nominal. So even though as Pawan said on the last question, there's a lot of small numbers here. So we've been putting tens of millions per year into R&D to help clients solve these data issues. And in solving those data issues, there's real hard cost savings that they will get, but the real impact is the faster decision-making on portfolio allocations that they can get out of this The other thing is the adoption of ARGUS Enterprise across most client estates was minimal. There are a few of our largest equity investor clients who do use us. They'll have hundreds of seats of AE for planning, but they were the exception. And that's what we're driving for because these are blue-chip clients who are fantastic at business planning, but that has not been a broadly accepted use case. So performance management and planning is secondary to acquisition evaluation for ARGUS Enterprise, but the application of ARGUS into those workflows is undeniable. So all of those things put together, clients understand the value. And we've had clients already moving to the asset-based pricing.
Richard Tse: Okay. And I guess if I could sort of throw another one in. And so as I look to next year and you sort of look at the growth projections, like what would you say sort of the mix is coming from just, I guess, the progression of your sales motion versus the price increases? I'm just trying to understand like how would each of those contribute to growth.
Jim Hannon: So Richard, if okay, I'm going to answer it from a little bit different lens. So if we take our growth algorithm and everyone needs to hear this, I'm going to take the growth and break it down into what percentage comes from these different elements. These are not the growth numbers. But when we think about, when we take our 2025 projections, our internal management plan and break it down, it comes down to about 20% comes from the new logos and new for AE for data for VMS and new funds, about 40% of it, we look at as coming from clients expanding their portfolios or expanding what would have been user headcount. And about 40% of the growth algorithm comes from this moderately higher pricing, but then the add-ons of portfolio manager and Benchmark manager.
Richard Tse: Thanks. That’s super helpful. Thank you.
Jim Hannon: Okay.
Operator: [Operator Instructions]
Jim Hannon: Kerry. I think we're good then. So let me just once again, thanks, everyone, for joining the call. As always, please don't hesitate to get in touch with us through Camilla or Martin. And I think this is our last time talking publicly to everyone. So I hope everyone has a great set of holidays. I can't believe we're at that point already. I think I'm going to be out of [Indiscernible] comment any moment now. So thanks, everyone. We'll talk to you soon.
Operator: Thank you for your participation. This does conclude today's conference. You may now disconnect.